Operator: Hello, and welcome to Exelon's Third Quarter Earnings Call. My name is Gigi, and I'll be your event specialist today. [Operator Instructions]. It is now my pleasure to turn today's program over to Andrew Plunge, Vice President of Investor Relations. The floor is yours.
Andrew Plenge: Thank you, Gigi, and good morning, everyone. We're pleased to have you with us for our 2023 third quarter earnings call. Leading the call today are in Calvin Butler, Exelon's President and Chief Executive Officer; and Jeanne Jones, Exelon's Chief Financial Officer. Other members of Exelon's senior management team are also with us today and they will be available to answer your questions following our prepared remarks.  Today's presentation, along with our earnings release and other financial information can be found in the Investor Relations section of Exelon's website. We would also like to remind you that today's presentation and the associated earnings release materials contain forward-looking statements, which are subject to risks and uncertainties. You can find the cautionary statements on these risks on Slide 2 of today's presentation or in our SEC filings.  In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. between these measures and the nearest equivalent GAAP measures can be found in the appendix of our presentation and in our earnings release. It is now my pleasure to turn the call over to Calvin Butler, Exelon's President and CEO.
Calvin Butler: Thank you, Andrew, and good morning, everyone. We appreciate you listening to our third quarter earnings call. Despite historically mild first 9 months of the year and pressures from storms in August and September, we delivered earnings right in line with the expectations laid out in our last earnings call. For the quarter, as you can see on Slide 4, we we earned $0.70 per share on a GAAP basis and $0.67 per share a non-GAAP basis. With the critical summer season behind us, we have narrowed our guidance range to $2.32 to to $2.40 per share for 2023. Jeanne will talk more about our results for the quarter and expected financial performance for the balance of the year. Operational performance across the platform remained very strong in the third quarter. With storms that brought 110-mile per hour wind gust and 29 major event days that impacted almost 1.3 million customers, we not only kept our financial plan on track but we also continued our track record of top quartile reliability performance, and we continue to make progress in safety and customer satisfaction.  The third quarter also brought continued execution of key milestones in our 6 active base rate cases underway in Illinois, Maryland, Delaware, New Jersey and the District of Columbia. Beginning with ComEd, we received a proposed order from the ALJ on its multiyear rate and grid plan on October '23. We're encouraged that the proposed order recognizes that meeting the ambitious electrification and decarbonization goals set by Illinois groundbreaking Climate and Equitable Jobs Act will require ComEd to make significant investments and it largely follows an investment plan that has alignment across a broad group of stakeholders. But the order does not recognize a fair cost of financing that investment. It provides a return on equity that is well below the national average. It does not recognize the significant investment we have made in our pension which supports ComEd's employees and has saved customers almost $1 billion to date with its returns and continues to generate savings for our customers. And it does not allow for a prudent capitalization of the business, has equity ratios below an appropriate level. So we are disappointed with elements of the proposed order, but we expect the commission will consider the full record developed when writing its final order. And we continue to make our case with stakeholders.  As a reminder, we expect to receive the final order in mid-December. As it pertains to BGE, all parties have filed their briefs and we now await a final order from the Maryland Public Service Commission expected on December 14. We have put forward a strong investment plan to address the needs of our customers that is aligned with the state's ambitious goals to advance the energy transformation. We remain optimistic that the commission will reach a constructive outcome that appropriately supports our customers and the state's goals laid out in the Climate Solutions Now Act.  As you will hear from Jeanne, we also made progress in the Atlantic City Electric rate case, where a stipulation of settlement awaits final approval. The Delmarva Power and Electric rate case is progressing as well. along with the Pepco DC and Pepco Maryland multiyear rate plans. On our longer-term outlook, we continue to reaffirm our existing guidance. We expect to be at the midpoint or better of our 6% to 8% annualized earnings growth ranges and to grow the dividend in line with those earnings. The capital we are investing across our jurisdictions to support the needs of our customers in their energy transformation is what drives that growth.  On Tuesday, PJM selected project proposal submitted for the competitive transmission proposal Window 3. Exelon's proposed transmission projects were among a set of solutions to maintain reliability in the Maryland, Pennsylvania and Virginia areas, driven by significant load increases in Northern Virginia. Specifically, PJM has recommended a suite of solutions that include a scope of work for Exelon that is estimated to cost approximately $850 million, with portions assigned to BGE and PECO, Pepco and Delmarva Power. As this spend is weighted toward the back end of the decade with expected completion dates of 2029 and 2030, that extend beyond the current guidance range, it provides another good indication of the trends in place and degree of work that the grid will require well into the future.  I'll also note 2 additional exciting developments this quarter that support our jurisdictions energy goals. First, ComEd, PECO and Pepco were part of 2 coalitions receiving hydrogen hub awards in our service territories. These projects will go a long way toward accelerating access to clean and affordable hydrogen to meet the nation's ambitious carbon reduction goals and creating thousands of clean energy jobs in Exelon service territories. Second, the U.S. Department of Energy recommended 2 of Exelon submissions in the grid resiliency and innovation partnership program for negotiation of a final award, totaling $150 million across our ComEd and PECO utilities. ComEd will direct its $50 million award to enable customers and partners to deploy next-generation technologies for growing solar installations and electric vehicles. And PECO is leveraging its $100 million award to enhance resiliency in vulnerable areas of PECO service territory that are susceptible to severe weather events. When combined with the middle mile grants that BGE and ComEd were awarded by the National Telecom and Information Administration, Exelon Utilities are approaching $200 million in total a federally funded IIJA grant awards this year, not to mention the amount directed towards its jurisdictions through vehicles like the EPA's Clean School Bus program.  The federal support is critical to supporting an affordable and equitable transition. The need transmission expansion, the investment in new energy supply and the ever-increasing need for a more resilient grid all highlight the impact that an economy that is increasingly dependent on electricity will have on our investment plan. The energy transformation will last decades not years, which is why we're confident that investment opportunities will continue to strengthen and lengthen our rate base growth. We look forward to incorporating these updates into our annual financial update on the fourth quarter earnings call next February.  I'll now speak to our operating performance in the third quarter on Slide 5. Reliability remains outstanding. All 4 utility operating companies had top quartile performance in both reduced outage frequency and shortened ops duration. COMED operated in the top decile for both metrics. In fact, ComEd and PHI again, achieved best on-record outage frequency and duration performance, which makes for the third quarter in a row for those 2 operating companies. Performance like this is particularly impressive when you consider the level of storm activity we experienced this quarter, which is a testament to the investments we're making in the system and the talented, dedicated employees working this system.  As an example, in just one damaging storm, BGE crews replaced 32 miles of wire and 82 transformers, and they did it 36 hours faster than historical models predicted was possible. That commitment to operational excellence across the Exelon franchise is a key part of what makes us who we are. And our gas operations are keeping pace. All 3 gas utility operating companies, again continued to perform at top decile levels for gas response. And as it pertains to customer satisfaction, while 3 of our utility operating companies continue to benchmark in the second quartile, PECO has progressed to the first quartile. Our improved benchmarking performance at PECO reflects the benefits of those efforts, and all utility operating companies did see increases in their scores. But as we have mentioned, overall satisfaction has been affected by inflation and sunsetting pandemic era relief relative to the benchmark year.  The headwinds facing our customers are real, which is why we are focused on ensuring customers are aware of their options to manage their energy use and reduce their bills. We look to build on increasing satisfaction levels into 2024.  Last, we saw improvement in our safety performance benchmark at PHI versus the second quarter. We continue to focus on the areas of underperformance and implement utility-specific action plans to address the higher OSHA rates. And you can see that with PHI scores, where our efforts to reinforce procedures, situation awareness and crew communication has yielded results. And we are also continuing in partnership with the industry to drive a more sophisticated discussion and set of tools around safety to focus employees on which behaviors will most impactfully improve safety and ensure we do our most important job, making sure each employee returns home safely after every shift. I assure you that we will continue to push for excellence across all areas of our operations as we close out 2023.  I will now turn it to Jeanne to review our financial performance and regulatory updates.
Jeanne Jones: Thank you, Calvin, and good morning, everyone. Today, I will cover our third quarter financial update, along with the outlook for the balance of 2023 and our progress on the 2023 rate case schedule. I will also highlight a recently completed transmission rebuild project by Delmarva Power & Light designed to further improve reliability for our customers in Eastern Maryland.  Starting on Slide 6, we show our quarter-over-quarter adjusted operating earnings. As Calvin mentioned, Exelon earned $0.67 per share in the third quarter of 2023 versus $0.75 in the third quarter of 2022, reflecting lower results of $0.08 per share over the same period. Results of $0.67 in the third quarter represent 28% of our expected full year earnings, which is right in line with the expectations provided on the prior earnings call.  Earnings are lower in the third quarter relative to the same period last year, driven primarily by $0.07 from the impact of weather and storms and summer activity returning to normal in '23, $0.04 of higher interest expense due to the rise in interest rates and higher levels of debt at the holding company and at some of our utilities and $0.03 of O&M tax and distribution formula rate timing expected to reverse in the fourth quarter. This was partially offset by $0.05 of higher distribution in transmission rates associated with incremental investments, net of depreciation as well as the $0.01 up carrying costs related to the carbon mitigation credit balance at ComEd.  Despite the summer storms and mild weather impacting our nondecoupled jurisdictions, we have delivered year-to-date earnings each quarter in line with indications and we continue to offset the weather headwinds with a combination of O&M levers across the platform, higher treasury rates impacting ComEd's distribution ROE, favorable depreciation of PECO and the full year earnings impact of the carrying costs associated with the CMC regulatory asset balance.  With one quarter remaining in the year, we are narrowing our 2023 EPS guidance range to $2.32 to $2.40 per share from $2.30 to $2.42 per share. Our full year guidance accounts for the absence of proactive derisking that occurred in the fourth quarter of '22, the reversal of year-to-date O&M tax and distribution formula rate timing and the anticipated onetime impact in December of BGE's reconciliation for the 2021 and 2022 under recovery. Through continued increase in rate base as we deploy capital for the benefit of our customers, along with managing work plans across the platform, we remain on track to deliver earnings within expectations. Recall, our goal is the way to achieve the midpoint or better of the guidance range. Lastly, we are reaffirming the fully regulated operating EPS compounded annual growth target of 6% to 8% from 2021 and 2022 guidance and plans through 2025 and 2026, respectively. Again, our expectation is to be at the midpoint or better of that growth range.  Turning to Slide 7. As Calvin mentioned, we continue to execute in all 6 open distribution rate case proceedings this quarter, in line with the established procedural federal. Each rate case remains on track, and we are approaching the final key milestones in December, ComEd and BGE's multiyear rate plan rate cases.  Let me begin with key developments since the last call. First, DPL Delaware received intermediary testimony and filed a rebuttal supporting the key elements of the company's proposed electric distribution revenue requirement increase of $39.3 million. DPL Delaware will continue to establish that the proposed plan is necessary to continue providing safe and reliable service, meet customer expectations and support Delaware clean energy goals while balancing customer affordability. A final order is expected in the second quarter of 2024.  Second, we are pleased with the progress in Atlantic City Electric's distribution rate case with the stipulation of settlement in place, the procedural schedule was suspended in early September. On October 21, ACE filed a stipulation of settlement with the New Jersey Board of Public Utilities. And on October 24, the administrative law judge presiding over the case recommended the settlement with all parties be approved. ACE anticipates final approval of the settlement from the BPU in the fourth quarter.  Next, the procedural schedule in Pepco's DC multiyear rate plan filing has been adjusted to accommodate the commission's request for supplemental testimony from Pepco. Similar to the commission's request from its personal plan, this directive provides Pepco the opportunity to demonstrate the benefits afforded by multiyear rate plans relative to traditional rate making. Pepco now expects to receive intervenor testimony on December 11, and evidentiary hearings will take place in March 2024, with the final order expected from the Public Service Commission of the District of Columbia by mid-2024. While still in the discovery phase of its second multiyear rate plan filing, Pepco Maryland continues to detail for its proposed investment plan designed to advance the state's climate and clean energy goals. Upcoming milestones include intervenor testimony expected to be filed by the Maryland Public Service Commission staff on December 15 and the evidentiary hearing set to begin in March 2024. Briefs will be filed in April of '24, and and we expect a final order by June of 2024.  Additionally, in Maryland, evidentiary hearings were conducted and brief filed in September and October, respectively, as part of BGE's pending multiyear electric and gas rate case. The hearings allow parties to share perspectives on the proposed investments, their alignment with the goals of the state and how best to balance the state's goals around the energy transformation, affordability and customers' interest. As expected, the Maryland Commission continues to prioritize safety, reliability and affordability. And it is also focused on addressing the goals of the Climate Solutions Now Act. We continue to believe BGE's proposed investment plans are well suited for Maryland to meet its aggressive clean energy goals in an affordable manner. The proceeding is expected to run its full course with the final order expected from the commission by December 14.  Moving on to ComEd's multiyear rate plan proceeding. As you heard from Calvin, the administrative law judges presiding over a case issued a proposed order on October 23. While the ALJ's proposed order recognizes that ComEd must undertake significant infrastructure investments to meet the state's clean energy goals, it does not fairly recognize ComEd's cost of financing to do so, especially in the current interest rate environment. We continue to believe the evidence on record supports ComEd's requests on ROE, capital structure and a return on its pension assets, among other factors, to provide a clear path in achieving a cleaner energy future for our customers and communities in Illinois.  But while we are disappointed in the proposal, let me remind you that this is just another data point in the process and is nonbinding on the commission. Given the number of variables that play in the transition to a multiyear plan, our current plan contemplates a range of fair and reasonable scenarios in the final order to achieve the state's aggressive decarbonization and electrification goals. We look forward to the remaining steps in the process, including filing briefed on exception by November 8, reply briefs on exception by November 20 and participating in oral arguments, which we anticipate will occur in late November. Each of these avenues will provide ComEd the opportunity to demonstrate the facts on key elements that are supported on the record and advocate for our position, which we continue to believe are in the best interest of customers and aligned with the state's energy policy goals. A final order is expected at the last scheduled ICC meeting of the year on December 14, but due no later than December 20.  Relationships across our jurisdictions remain constructive, and we remain steadfast in our engagement with key stakeholders across the regulatory bodies, the state legislators and the communities to support our shared interest in the energy transformation. As a reminder, by next year, we expect to have a resolution on all 4 of the ongoing multiyear rate plans in Illinois, Maryland and D.C., which will support their respective clean energy and climate goals while balancing customer affordability and equity. More details on the rate cases can be found on Slides 20 to 26 of the appendix.  Moving to Slide 8. During the third quarter, we continue to deploy capital for the benefit of our customers and are on track to invest $7.2 billion expected for 2023. These investments are designed to deliver answers to an expanding set of needs for tomorrow's spread: enhance customer value, adapt to climate change, meet heightened resilience and reliability challenges and modernize outmoded systems and equipment just to mention a few. These also support our communities. Today, I specifically would like to highlight how Delmarva Power's recently completed East New Market to Cambridge, transmission upgrade project in Maryland is meeting those needs.  Construction to rebuild the transmission equipment began in late fall of 2021. This $40 million project included upgrading more than 11 miles of existing transmission line with new wire and installing 189 galvanized steel poles, replacing wood poles is new, longer-lasting steel utility poles, strengthens the local energy grid and reduces the number of transmission poles along the route. These more reliable structures are also designed to withstand severe weather conditions, a vital design element as climate changes contributed to the increased intensity of coastal storms. For perspective, steel poles can withstand 120-mile power hurricane force winds in blizzard conditions, an increase of up to 20% compared to wood poles. Together, these important upgrades, which were placed in service in May 2023, are expected to help prevent outages and enhance overall reliability for more than 13,000 residents of SirkCounty, Maryland. Projects such as this transmission rebuild contributed to the nearly 30% decrease in electric outage frequency, our DPL Maryland customers have experienced over the last 5 years.  The East New market to Cambridge project is just 1 example of our broader strategic effort to strengthen and modernize the energy grid across all of our service areas. We continue to see significant need for transmission investments to support state and customer goals on renewable energy and electrification. This demand supplements more traditional transmission expansion needs, including congestion relief, operational performance requirements, infrastructure resilience, equipment, material condition and customer service. As Calvin mentioned, we look forward to providing our annual financial update, inclusive of the newly awarded transmission upgrade spend from PJM as well as the final rate orders in Illinois and Maryland on the fourth quarter earnings call in February 2024.  I will conclude with a review of our balance sheet activity on Slide 9. As a reminder, we continue to project a 100 to 200 basis points of cushion on average of our guidance period for our consolidated corporate credit metrics above S&P and Moody's downgrade thresholds of 12%, demonstrating our commitment to maintaining a strong balance sheet. If the corporate alternative minimum tax is not mitigated through an inclusion of repairs in its calculation, we anticipate being at 100 basis points or at the lower end of that range. While our plan incorporates the assumption that the corporate alternative minimum tax will not allow for repairs, we remain optimistic that it will be implemented in a way that mitigates the cash impact. We continue to anticipate the treasury will issue more guidance on the corporate alternative minimum tax before year-end.  From a financing perspective, I will remind you that we completed all our planned debt financing needs for 2023 as of the second quarter call, reducing earnings volatility in the second half of the year. In managing the interest rate volatility, we continue the pre-issuance hedging and floating rate cap programs that were initiated last year. In addition, we continuously monitor the capital markets and regularly assess our plans for future issuance timing, sizing, tenor and tranching strategy to ensure we always achieve optimal outcomes. Additional detail on our earnings sensitivities reflective of our hedging activity to date is provided on Slide 18 in the appendix.  Lastly, there have been no changes in our guidance to issue $425 million of equity at the holding company by 2025. As we work with our jurisdictions and identify needs for further investment at the utilities, including those assigned by PJM, we will continue and ensure that we maintain a strong balance sheet, consistent with the expectations of a premium T&D company while supporting our 6% to 8% annualized earnings growth rate. Thank you. I'll now turn the call back to Calvin for his closing remarks.
Calvin Butler: Thank you, Jeanne. With just a couple of months left to go in 2023, I'll conclude with a reminder of our goals and priorities for the year. First, our foundation is operational excellence, which benefits our customers and communities. As I mentioned, our employees rose to the challenges they always do for our summer storms, but we're ready to close out the year strong to prove we have the best operators in the business. Indeed, PA Consulting just awarded ComEd with its 2022 Reliability One National Reliability Award, one of the most prestigious honors in the electric utility industry, recognizing it for sustained leadership, innovation and achievement in the area of electric reliability. This award highlights the value of a committed operating team executing on a sophisticated operating plan and investment strategy provides the customers the grid that they deserve.  I now want to take a moment to just recognize Terry Donnelley, COO of ComEd. Terry will be retiring at the end of this year after almost 12 years in that position. Terry thank you for his continued steadfast leadership and also the selection between him and Gil Kionas of David Perez, who is stepping in as a longtime Senior VP into the role of Chief Operating Officer. We have high expectations of date that they will continue to deliver on the operational performance that Illinois customers have come to expect.  We are also focused on completing a number of the rate cases we have underway, including BGE's multiyear plan for its gas and electric systems as well as ComEd's multiyear rate and grid investment plans. We continue to believe that parties in both cases have a shared interest in reaching outcomes that align with the state's energy policy and equity goals while ensuring we have the certainty and confidence to make the investments needed to serve our customers reliably. The Climate and Equitable Jobs Act was passed in 2021, with the promise of making Illinois a leader in the energy transformation. The approval of these first electric multiyear plans are a key moment for the state to advance its clean energy goals and follow the thoughtful ambitious plan and process the state laid out in the Climate and Equitable Jobs Act. We are optimistic that the state of Illinois will seize the opportunity.  Third, we will finish out the year meeting our financial guidance, narrowing our guidance range to $2.32 to $2.40 per share demonstrates the confidence we have in executing despite the historically mild weather this year, and we remain on track to invest $7.2 billion of capital and earned consolidated ROE in the 9% to 10% range. Lastly, we never want to lose sight of our responsibility to our customers and communities as the premier transmission distribution utility. Just this past quarter, ComEd and PECO were 2 of only 6 utilities to partner with local governments and community-based groups to win DOE support from its Clean Energy to Communities program. Through this program, ComEd will help explore low carbon transportation technologies for Chicago, like freight travel electrification, while PECO will assist in creating a regional hub to streamline procurement of the most impactful clean energy technologies for the Delaware Valley region. BGE awarded grants to 41 nonprofit organizations in Maryland to support environmental stewardship programs. And Pepco energized the first of 3 substations as part of its capital grid project which is Pepco's forward-looking plan to upgrade or add substations and underground transmission cable to modernize and strengthen our nation capitals grid. In doing so, Pepco was able to provide $29 million to local suppliers and $30 million to diverse suppliers as part of the work to complete that substation. And those examples show whether it's providing direct support to our customers, our community organizations, facilitating access to support from federal or national organizations or ensuring our work on the grid benefits our jurisdictions end-to-end, the Exelon team is focused on ensuring all of its actions are intentional in serving the greater purpose of leading the energy transformation.  These goals are what make for premier T&D utility, one that embraces the opportunity to lead the energy transformation partners with its jurisdictions to achieve their goals, uplift its communities and meets the expectations laid out for the investment community, offering a total shareholder return of 9% to 11%.  Thank you, as always, for your interest. I'll now turn it to Gigi for your questions.
Operator: [Operator Instructions]. Your first question comes from the line of James Kennedy from Guggenheim Partners.
James Kennedy: So starting off, I guess, with the ALJ order in Illinois. Calvin, you mentioned your expectations that the commission will consider the full record, I guess, is the draft the final order. I realized you've been in a formula construct for a while, but is there any prior precedent for the ICC to make those kind of departures from the ALJ? Just trying to understand the prospects here for vision and your confidence level.
Calvin Butler: Yes. First off, James, thank you for your question. And there is precedent. The record is going to be considered by the full commission. But the commission definitely has leeway to look at the record separately, taking an advisement what the ALJ has said. But also keep in mind, this is the first time that this commission has come together under a multiyear rate plan and grid plan to consider how ComEd's proposals meet the state's goals. So I do -- they do know there's a difference in opinion on how to approach this. And I think they will take that all in consideration because we have 3 new commissioners And they will lean into this discussion and look at what they need to do to achieve the state's goals, which are very specific. And I have Gil Ciona, the CEO comment with me. Gil, anything you'd like to add?
Unidentified Company Representative: Yes. I think it's also important to note that this is really -- it's a key milestone in the process, but there are 4 other milestones coming up as both Calvin and Jeanne mentioned, the briefs to the commission and exceptions, replies to those briefs and oral arguments before the final order. As Calvin said, we feel strong conviction that the evidence on record supports ComEd's requests. And based on what the commissioners have done in the past, we anticipate that they will make adjustments and corrections before they issue a final order. We expect the commission will not only consider post order, but the entirety of the record in the case and the policies of the state. It is an historic once-in-a-lifetime opportunity, and we believe the commission will meet the moment in advancing the ambitious goals of the Climate Equitable Jobs Act and the state's economic development aspirations.
Jeanne Jones: Does that answer your question, James?
James Kennedy: Yes. And then just, maybe one for Jeanne. Just -- on the remaining equity need in the current plan, I guess, if you don't get the minimum tax clarity you're looking for from the IRS, would you need to accelerate the need into '24? Or does '25 mean '25? Just any additional color on timing?
Jeanne Jones: Yes. No, everything we've given you assumes that we pay, the corporate alternative minimum tax. And so regardless of how that turns out, our commitment is to do the 425 million between now and 2025. So that doesn't change regardless of the outcome here.
James Kennedy: Okay. And then just real quickly, the transition spend today, that is purely incremental to the 870 you debuted on the last call related to stores, right?
Jeanne Jones: Yes. There are two similar numbers, but two different projects.
Operator: One moment for our next question. Our next question comes from the line of David Arcaro from Morgan Stanley.
David Arcaro: Maybe on that same topic, with the transmission projects that has selected. Could you elaborate a bit on which year the CapEx would start to flow into the spending plan? And also, just as you think about PJM and potential competitive opportunities going forward, are there future opportunities that you plan to bid into also?
Calvin Butler: Yes, David. I'll start, but then I'll turn it over to David Velazquez, who's here with me that has our transmission strategy group reporting up to him and working with all the opcos. As I mentioned, I believe our transmission buildout has tremendous opportunity to not only strengthen what we're doing but also lengthen our earnings growth and doing it in a way that ensures not only reliability but the ability to connect renewables to the grid. And David and his team have put together a robust plan, and I'll let him take a moment to walk you through.
David Velazquez: So David, this is Dave So on the transmission projects, like, to give you a sense, we have brand insurers, which was the project we talked about by last quarter, which has an in-service date in the end of 2028. So you think about cash flows there, and again, you have to recognize we're in preliminary engineering yet, so this is liable to move a little bit. But I figure typically like in the last couple of years, '27, '28, you spent somewhere around 40% to 50% of that expenditure. And then leading up to it starting next year, you'd slowly ramp into it. In the first 3 years, you'd spend somewhere again between 50% and 60% of the project. And the Dominion, which has an in-service date part of it in '29, part of it is '30, I think you'd see a similar profile where in the last couple of years, you probably see around 40% to 50% of the expenditures and 3 or 4 years leading up to that. So some of this will be within the current period and some of it will be after the current period. And I think on the broader question, as Calvin has said, there's a lot of opportunities out there. We look at every single competitive window that PJM puts out there and make decisions whether we think we can add value for our customers by presenting proposals and we will continue to do that. I think also there's other opportunities out there. Offshore wind is one. In Maryland, the commission has to issue a solicitation to help bring on some of the additional megawatts by July of next year. We continue to see a lot of load growth in our regions around data centers. There's also some hydrogen hubs that have been awarded grants from the federal government in our territories. We also continue to see some generation retirements PJM recently announced retirement of a Wagner unit -- large Wagner unit in BGE's territory. So there's a lot of different opportunities that we're looking at out there to continue to, again, for our customers and for public policy goals continue to invest in transmission.
David Arcaro: Excellent. That's really helpful. And I guess as you think about some of this incremental upside CapEx, it sounds like some of which would hit the current plan, but then also looking ahead to the next 5-year CapEx plan, how do you think about financing the next year of kind of higher CapEx growth and rate base growth, specifically thinking about how you're thinking about equity needs from here?
Jeanne Jones: Yes, it's Jeanne. I think it's how we've always thought about it. We rolled out the $31 billion on our last call. We talked about financing in a balanced approach with internal cash flows and a mix of debt and equity. And so I think to the extent we continue to see more and more work, which we know there will be. We'll finance it in a way that maintains that cushion on the balance sheet that we target, but also ensures that we meet our 6% to 8% earnings growth.
Operator: One moment for our next question. Our next question comes from the line of Paul Zimbardo from Bank of America.
Paul Zimbardo: And thank you for laying out all those transmission opportunities. Just as we think about the roll forward, not the current plan, you've been very clear, but the roll forward with these incremental opportunities, is there a good way to think about financing those incremental CapEx? Is it kind of like a 50-50 mix? Or should we be thinking of something different?
Jeanne Jones: Yes. I think as I mentioned with David's earlier question, we'll do it in a balanced way. I think we've got a lot that we're pulling together here. We've got some really exciting incremental transmission opportunities. We have incremental investments from the new rate cases that we've been filing. So we're going to pull all that together as we always do in the fourth quarter and give you a full update when all of that is final. We should have some more information again at the end of the year by the corporate alternative minimum tax. We'll embed any additional cost savings that we're finding as we continue to get further out of separation. So we'll -- as I mentioned, we'll fund any new incremental capital with a mix of internal cash flows reinvesting back into the business that and to the extent necessary do what we need to do to make sure we maintain that cushion on the balance sheet but always also hit our earnings target of 6% to 8%. So we'll do it in that balance, thoughtful way.
Paul Zimbardo: Okay. Understood. And then shifting topics a little bit. Do you have an estimate for what the Illinois ComEd customer bill CAGR is like the next 5 years -- for your rate case and then I know there's the carbon mitigation credit that rolls off. So just curious how the bill trajectory is.
Jeanne Jones: Yes. On the ask, I believe it was just -- somewhere between 4% and 5% on the bill CAGR that was on ask call. And then the second part of your question was -- what was the second part on the -- as the CMCs roll off?
Paul Zimbardo: Yes. Just overall, like, again, you're only part of the bill, like what an overall ComEd customer bill trajectory looks like over the next 5 years?
Jeanne Jones: Yes. Over the next 5 -- again, on the rate case ask, it was, I think, around 4.5%, 5%.
Calvin Butler: But it's important to note, Paul, that ComEd starts below the national average in terms of overall rates. So as I like to think of the headroom within that utility to invest and move the state forward exists. One, because of the carbon mitigation credits, but also because they start from a position of strength and having some of the lowest rates in the country. I think it's roughly 23% below large city national average. That's where ComEd's in
Operator: Our last question -- one moment for our next question. Our last question comes from the line of Jeremy Tonet from JPMorgan Securities, LLC.
Aidan Kelly: It is actually Aidan Kelly on for Jeremy. Just one quick question going back to ComEd. Curious how do you reconcile the differences between the ALJ's 9.28% ROE and staff's 8.91% ROE as well as the proposed equity ratio? And then could you just talk more about where the ultimate return on pension assets debate stands?
Calvin Butler: Yes. I would tell you that, as we talked about, I'll first start with 1 step, and this is just another step in the process, as Gil laid out, coming off the world series, I think we're in the sixth inning, right? We're in the sixth inning of a long game. And that's just -- it's 1 step. Staff was one, and you saw they came in at 8.9%, talking about the formula rate, and then we get the ALJ, we were able to respond, then we get the ALJ's ruling of 9.28, so we will continue to respond to the evidence as presented and present additional data for this commission to work with. And that includes not only ROE, that includes return on pension assets. As I talked about in my statement, it warrants a return, and we have even come to an agreement with the Attorney General of Illinois, where a minimal getting a debt return. And so we continue to move forward and present the why. And I think that's the powerful part of this, Jeremy, is that when we can articulate the why and frame how it's beneficial for all customers and moving -- having a productive and efficient company that's moving the state's goals, we'll get there. So to get into the details of this -- of any other piece of this early in the process, I think we'd be inserting ourselves deeper before the full commission has a chance to hear the evidence. As Gil has laid out, we have when our next filing deal that we're presenting to them. The brief on exceptions will be on November 8, November 8. And we'll lay it out all fully Jeremy, on November 8 as to the what and the why.
Aidan Kelly: Appreciate the color there. And then just 1 quick question unrelated on the $425 million equity, would you consider ATM or follow-on there?
Jeanne Jones: We have $1 billion ATM in place. And so we can always just leverage that in kind of dollar cost average in as needed.
Operator: I would now like to turn the conference back to Calvin Butler, President and CEO, for closing remarks.
Calvin Butler: CJ, as always, thank you very much, and thank you to everyone for joining us today. We look forward to seeing many of you at the EEI Financial Conference in a week. Jeanne and the team and I, we're looking forward to just engaging with you in a more robust and deep manner at that conference. And with that, that concludes our call. Thank you very much. Have a great day.
Operator: Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.